Operator: Good day, ladies and gentlemen and welcome to the Q4 2016 CommVault Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Mr. Michael Picariello, Director of Investor Relations. Sir, please go ahead.
Michael Picariello - Director of Investor Relations: Good morning. Thanks for dialing in today for our fourth quarter 2016 earnings call. With me on the call are Bob Hammer, Chairman, President and Chief Executive Officer; Al Bunte, Chief Operating Officer; and Brian Carolan, Chief Financial Officer. Before we begin, I'd like to remind everyone that statements made during this call, including in the question-and-answer session at the end of the call, may include forward-looking statements, including statements regarding financial projection and future performance. All these statements that relate to our beliefs, plans, expectations or intentions regarding the future are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and are based on our current expectation. Actual results may differ materially due to a number of risks and uncertainties, such as competitive factors, difficulties and delays inherent in the development, manufacturing, marketing and sale of software products and related services and general economic conditions. For a discussion of these and other risks and uncertainties affecting our business, please see the Risk Factors contained in our Annual Report in Form 10-K and in our most recent Quarterly Report in Form 10-Q, in other SEC filings and in the Cautionary Statement contained in our press release and on our website. The company undertakes no responsibility to update the information in this conference call under any circumstance. In addition, the development and timing of any product release as well as any of its features or functionality remain at our sole discretion. Our earnings press release was issued over the wire services earlier today and it also has been furnished to the SEC as an 8-K filing. The press release is also available on our IR website. On this conference call, we will provide non-GAAP financial results. Reconciliation between the non-GAAP and GAAP measures can be found in Table IV accompanying the press release and posted on our website. This conference call is also being recorded for replay and is being webcast. An archive of today's webcast will be available on our website following the call. I will now turn the call over to our CEO and President, Bob Hammer.
N. Robert Hammer - Chairman, President and Chief Executive Officer: Thanks, Mike. Good morning, everyone, and thanks for joining our fiscal fourth quarter and FY 2016 year-end earnings call. Let me briefly summarize our Q4 financial results. Software revenues were up 5% year-over-year and 3% sequentially. Total revenues were up 6% year-over-year and 2% sequentially. EBIT was up 29% year-over-year. EBIT margin was 16.4%, or up 290 basis points year-over-year. EPS was $0.36 per share versus $0.27 in Q4 2015. Cash flow from operations was $37.2 million. During the quarter, we repurchased approximately 56.9 million of our common stock. We had solid contribution from all three global theaters. The Americas and EMEA regions had particularly strong results. We are pleased that we achieved a much improved Q4 2016 and second half FY 2016 results. As we had forecasted, FY 2016 was clearly a tale of two halves. The first half to the second half comparisons are as follows; software revenues were up 27% in the second half versus the first half. Total revenues were up 13%. EBIT was up 134%, and EBIT margins for the second half were up 780 basis points versus the first half. The improved results and increased momentum in the second half of FY 2016 were due to the positive financial impacts from fundamental changes we made to the business over the past two years. These impacts include strong sales contribution from a restructured and staffed Americas sales organization, very positive market reception of our CommVault V11 Data Platform which we introduced last fall, high-growth and material contribution from our standalone products such as cloud, mobile and compliance, and meaningful contributions to license revenue from new distribution alliance partners such as Microsoft, AWS, Cisco, Nutanix and Pure as well as the large global systems integrators. The move to the cloud has become a major factor contributing to our increased business momentum since CommVault solutions can holistically solve a broad range of the critical new problems that customers are facing as they migrate to the cloud, manage data in private, hybrid and public clouds, and deploy new hyper converged and Big Data storage infrastructures. As a result, more and more companies are choosing CommVault as their strategic data and information management vendor. Our accelerating pace of innovation is enabling CommVault to improve our competitive position against our traditional larger competitors. With our broad enterprise-wide capabilities we are also improving our position versus small competitors that are only solving a small part of complex systemic customer problems. Let me talk about FY 2017. Our FY 2017 objective is to build on the momentum we established in FY 2016 to position the company for long-term high revenue and earnings growth. We believe we are well positioned to take advantage of the unique window of opportunity. The market is in a major state of disruption due to the move to the cloud, massive technological shifts in IT infrastructures, the deployment of SaaS-based solutions, and the need for more sophisticated business analytics. The market is also being disrupted by vendor consolidation and buyouts. Our aggressive early investment approach to deal with these changes has enabled us to improve our competitive position and increase our market opportunities. We have a clear game plan built on a strong business foundation and have the financial wherewithal to continue to strengthen our position in the industry during a time of expanding market opportunity. Specifically, we have developed the best products and services to enable customers to move to the cloud, deploy new on-premise IT infrastructures, manage SaaS related data, and build unique business analytic solutions. We are in the strongest position we have ever been to execute our strategy. We built and staffed updated organizational structures across the company and have established much better alignment across functions to achieve our core objectives. We have significantly enhanced distribution with a number of new alliance and strategic partners as well as a better functioning channel. We have the deepest product pipeline in our history with an accelerating pace of innovation, including software-defined storage capabilities, capabilities to manage Big Data, secure data portability and a new foundation for business analytics. Let me address our investment objectives and impact on EBIT margins. We're going to be more aggressive in our investment approach to accelerate revenue and earnings growth in FY 2017 and FY 2018 in order to take advantage of our expanding market opportunity. Please keep in mind that we had lower than expected operating expenses in Q4 2016, and we will be catching up on some of those investments, especially in the first half of FY 2017. This combined with lower maintenance revenue growth will constrain operating margin expansion in FY 2017. With that said, we will be prudently managing the amount of operating expense increases to ensure that going forward we achieve both our revenue objectives and substantial operating margin expansion over the long term. Brian will discuss specific operating margin guidance for FY 2017 later in the call. I will now address our FY 2017 revenue outlook. We continue to see sales funnels improving along with good visibility, and we expect positive license revenue growth trends to continue. As such, we believe the current FY 2017 and Q1 Street consensus for both total revenue and EBIT margin is reasonable. Our objective, however, is to do somewhat better than consensus would indicate. Please note our fiscal Q1 is historically our most challenging quarter. We expect Q1 would show a sequential decline for total revenue and EBIT from Q4 2016 results, but much improved from the prior year Q1. We want to remind everyone that even though we believe license revenue growth will continue to accelerate in FY 2017, we expect maintenance revenue to remain flat for the year. As a result, earnings growth will be driven by software license revenue growth. We expect maintenance growth to reaccelerate in FY 2018 as a result of FY 2017 license revenue growth. While our strategic fundamentals are strong and our ability to execute is improving, we still face critical challenges. We need to expand the market visibility and understanding of the strategic value of CommVault's V11 Data Platform and broader set of standalone products. We are winning larger and larger enterprise deals. However, our ability to grow is more dependent on just big deals or the steady flow of $500,000 and $1 million-plus deals. These deals have quarterly revenue and earnings risk due to their complexity and timing. Even with improved funnels, large deal closure rates may remain lumpy. Achieving our FY 2017 license revenue growth objective will be dependent in large part on continued successful market adoption of solutions based on our new CommVault Data Platform and associated software and services for deployment to and from the cloud. We are in an opportunity-rich situation in the market and will be prudently increasing spending to increase revenue and earnings growth for FY 2017 to take full advantage of the expanding window of opportunity. As a consequence, there will be negative impact to our earnings if we miss our revenue targets. We recently hired a new Vice President of EMEA. We anticipate this person to start at the beginning of Q2 FY 2017. In summary, we continue to see increased business momentum, which has enabled us to have a strong finish to FY 2016 and establish the foundation for an improved FY 2017. We also believe that the structural changes taking place in the market are acting as strong catalysts for our business growth. I will now turn the call over to Brian.
Brian Carolan - Chief Financial Officer: Thanks, Bob, and good morning, everyone. I will now cover some key financial highlights for both the fourth quarter and full fiscal year 2016. I will state our as-reported non-GAAP results first and also state the year-over-year results on a constant currency basis where meaningful. Fourth quarter total revenues were $159.6 million, representing an increase of 6% over the prior year period and 2% sequentially. For the full fiscal year, total reported revenues were approximately $595 million, representing a decrease of 2% over fiscal 2015. Total revenues for fiscal 2016 were up 3% year-over-year on a constant currency basis. For Q4 2016, we reported software revenue of $73.3 million, which was up 3% sequentially and 5% year-over-year. Revenue from enterprise deals, which we define as deals over $100,000 in software revenue in a given quarter, represented 58% of total software revenue. The number of enterprise deals increased 13% sequentially. Our average enterprise deal size was approximately $272,000 during the current quarter, which was down 2% from approximately $278,000 in Q3 2016. Americas, EMEA and APAC represented 60%, 30% and 10% of software revenue respectively, for the quarter. On a sequential growth basis, Americas and EMEA software revenue increased 2% and 7%, respectively. APAC software revenue decreased 3% sequentially. The revenue mix for the quarter was split 46% software and 54% services. Please remember, services revenue is a combination of both maintenance and support revenue and professional services revenue. Services revenue for Q4 was $86.2 million, an increase of 2% sequentially and 7% year-over-year. Services revenue for fiscal year 2016 was approximately $336.3 million, an increase of 4% year-over-year, or up 9% on a constant currency basis. Our maintenance and support renewal rates remain strong. We added approximately 450 new customers in the quarter. Our historical customer count now exceeds 22,500 customers. For the quarter, revenue transacted through Arrow was approximately 38% of total revenue, growing 9% year-over-year and flat sequentially. Moving on to our pricing models. Our software licenses typically provide for a perpetual right to use our software and are typically sold on a per terabyte capacity basis, on a per copy basis or as a solution set. During the quarter, approximately 70% of software license revenue was sold on a per terabyte capacity basis. This is down from 73% in Q3 2016. Capacity based license sales also represented 73% of our full-year software revenue, down from 81% in FY 2015. We anticipate that capacity-based licenses will continue to account for the majority of our software license revenue for the foreseeable future. Over time, we anticipate a gradual shift to more subscription-based and consumption-based pricing models. Consistent with recent prior quarters, sales of our standalone solution sets continued to have a 2X attach rate of sales of other software solutions. These solution sets are generally sold on a per-unit basis and can be individually deployed or combined as part of a comprehensive data protection and information management solution. As Bob noted earlier, the move to the cloud has become a major factor in our increased business momentum. Over the past 12 months we saw a 4X increase in the petabytes of data being stored using CommVault software within public cloud environments. We also saw a substantial sequential increase in Q4. Now moving on to gross margins, operating expenses and EBIT margin. Gross margins were 87.5% for the quarter and 86.6% for the year. We expect the full year FY 2017 gross margin percentage to be the same as FY 2016 or approximately 86.5%. Total operating expenses were approximately $111 million for the quarter, up approximately 3% year-over-year and down 1% sequentially. Sales and marketing expenses as a percentage of total revenues decreased to 51% in the current quarter, which was down from 53% in the prior year period. We added seven net employees in fiscal Q4 and 92 net employees for all of FY 2016. We ended the fiscal year with 2,379 employees. Non-GAAP operating margins were 16.4% for the quarter, resulting in operating income or EBIT of $26.2 million. Q4 EBIT margins increased by 290 basis points both sequentially and year-on-year. The overachievement in Q4 EBIT margins as compared to Street consensus was caused primarily by higher revenue as well as not meeting our head count hiring objectives. Our lack of head count additions in the second half of FY 2016 was the result of focusing more on the productivity of our existing resources and finishing out FY 2016 with much improved results as compared to the first half as well as careful planning of where our strategic investments needed to be made in FY 2017, which then stalled our ability to make additional hires at the end of FY 2016. Please note there are many new head count additions that were being recruited for in Q4 2016 but didn't actually start with the company until Q1 2017, as a result, you should see much higher net head count additions in the first half of FY 2017. Net income for the quarter was $16.6 million and EPS was $0.36 based on a diluted weighted average share count of approximately 45.8 million shares. For the year, net income was $42.4 million and EPS was $0.91 based on a diluted weighted-average share count of approximately 46.5 million shares. FX had a negative impact on full-year EPS by $0.10. Interest income was nominal in the quarter. While there have been no borrowings on our revolving credit facility, we do incur interest expense related to the commitment fee. We anticipate that we will have nominal net interest income in FY 2017. I would now like to spend a few minutes discussing our anticipated revenue and EBIT margin outlook. As Bob stated earlier, while we believe the current FY 2017 and Q1 2017 Street consensus for both total revenue and EBIT margin is reasonable, our internal objective is to achieve results somewhat better than consensus would indicate. As such, our investment strategy is tied to an internal plan that exceeds our FY 2017 revenue outlook commentary. We will prudently accelerate these investments in FY 2017 in order to strengthen our market position in the industry and increase market share. If we are successful with our investment strategy, we believe that there is revenue and earnings upside as compared to current Street consensus, and it could set us up for strong results for the next few years. However, there is also investment risk on the downside, and there is some uncertainty in the near term. Please note the unexpected size of the EBIT overachievement in Q4 2016 now creates a challenge for operating margin expansion in FY 2017, as we need to increase investments on key strategic initiatives that are critical for us to sustain a high software revenue growth rate. These strategic investments include, but are not limited to, investing in enough sales capacity to drive software growth targets for FY 2017 and FY 2018, conducting our first worldwide sales kickoff event in two years in order to adequately educate and train the field on high impact V11 and next-generation solution areas, conducting our first ever customer conference which we are calling CommVault GO in Q3 2017; establishing an advanced solutions overlay group to help field sales teams better position our expanding value propositions to customers and partners; and developing high-growth vertical market businesses including healthcare and the anticipated future launch of our second vertical market business. We would like you to keep in mind that our fiscal Q1 is usually our most challenging quarter due to seasonality. We expect this trend to continue as we anticipate a sequential decline in both revenue and EBIT. However, there is the potential to overachieve current Street consensus for both total revenue and EBIT in Q1. We anticipate operating margins to improve sequentially as the year progresses, especially as the top line growth rate increases. Our revenue and margin outlook assumes current FX exchange rates. As Bob also indicated, FY 2017 operating margins will be negatively impacted by maintenance and support services revenue. We believe maintenance revenue will lag software license revenue growth in FY 2017 due to FY 2016 license revenue results as well as the ongoing realignment of our maintenance pricing. From a services revenue perspective, our continued maintenance pricing realignment will phase in through FY 2017. This strategy aligns with our V11 software release and has resulted in streamlined maintenance pricing that we believe will accelerate new customer acquisitions and make it easier to do business with CommVault. Our existing customers will also benefit from these changes and will ultimately have a lower total cost of ownership. As a result of these changes, our maintenance and support services revenue will likely remain flat for FY 2017. Maintenance and support services revenue typically represents about 85% to 90% of our services revenue line. Let me now comment on tax rate, then share count. Our GAAP tax rate for fiscal 2016 was 93%, which is not meaningful given that our GAAP pre-tax income was close to break even. Cash taxes paid in fiscal 2016 were significantly less as compared to FY 2015. Over the next few years, we estimate our GAAP and cash tax rates will become more closely aligned with our pro forma tax rate of 37%. We will continue to use a pro forma tax rate of 37% for FY 2017 which is the same pro forma rate used for fiscal 2016. For fiscal 2017, we anticipate that our annual diluted weighted-average share count will be approximately 46.5 million to 48 million shares. Now moving on to our balance sheet and cash flows. As of March 31, our cash and short-term investments balance was approximately $387 million. Free cash flow, which we define as cash flow from operations less capital expenditures not related to the new headquarters, was approximately $36 million, which is up 6% year-over-year. During the fourth quarter, we repurchased approximately $57 million or 1.6 million shares of our common stock at an average cost of $35.61 per share. During FY 2016, we have made cumulative repurchases of approximately $91.5 million or 2.6 million shares of our common stock at an average cost of $35.70 per share. As of today there is $93.1 million available under the share repurchase program that currently expires on March 31, 2017. We will remain opportunistic with stock repurchases. As of March 31, 2016, our deferred revenue balance was approximately $245 million, which is an increase of $15 million or 7% over the prior year period and up 6% sequentially. The sequential increase in deferred revenue is primarily due to maintenance and support renewals, which is typical in our fiscal fourth quarter. Consistent with my earlier comments regarding maintenance pricing realignment and related services revenue growth rates, we expect deferred services revenue to be flat to slightly down sequentially in the first half of FY 2017 and begin to sequentially improve in the second half. At the end of FY 2017, we expect deferred services revenue to be up slightly year-over-year. Please remember the vast majority of our deferred revenue is services revenue, not software revenue. As of March 31, 2016, our deferred software revenue balance represented less than 1% of total deferred revenue. And lastly, for the quarter, our days sales outstanding or DSO was 65 days, which is up from 60 days in Q3 2016 but down from 69 days in the prior year quarter. The change is due to linearity within the quarter. That concludes the financial highlights. I will now turn the call back over to Bob. Bob?
N. Robert Hammer - Chairman, President and Chief Executive Officer: Thank you, Brian. Our strategy has two key components: one, to increase market share in our core data management business; and, two, expand our market opportunity by using the uniqueness of the CommVault Data Platform to develop high value vertical solutions such as healthcare. I will now provide some additional detail on why we believe our core data management business has become a significant growth opportunity. The management of data is becoming much more complex as companies move to the cloud, deploy next-generation IT infrastructures, manage data from SaaS applications, and have data index secured and accessible for business analytics. It is important to note that data management capabilities from cloud and SaaS vendors does not replace the need for comprehensive data management as delivered by CommVault. For example, replication data protection technologies from cloud and SaaS vendors do not replace the need for a backup copy for critical data needs such as compliance, legal and historical business analytics. They do not provide the data and information management capability to federate the management of data across the proliferating silos of cloud, mobile, SaaS and new IT infrastructures. The management of data has become much more complex and more and more of our customers and partners are looking to CommVault as the key strategic partner as they transition to the cloud, look to reduce costs and ensure they are legally compliant, adopt new IT infrastructures like hyper converged OpenStack, Hadoop, flash and software-defined storage, deploy newly architected cloud-based applications and rely more and more on business analytics. Our platform is becoming the industry standard for enterprises to holistically federate and manage data across all infrastructures. It enables them to have one federated management platform to securely migrate, manage access and derive more value for data holistically across the cloud, traditional and new IT infrastructures and SaaS-generated data. I wanted to briefly share with you one customer's experience on how CommVault was able to help them move to the cloud. Some of you may have listened to CommVault's hosted Cloud Webinar on March 30 with two of our customers and one partner. One of our customers, News Corp, had a global objective to drastically reduce their data center footprint hosting by 75% and then move their data into the cloud. Globally they wanted to reduce from 32 traditional data centers down to six for efficiency and cost savings. News Corp wanted to create virtual data centers as if they were on premise, in doing so they worked with our partner and our professional services team to help them architect and build enterprise data centers in the public cloud, migrate on premise applications to the cloud, implement enterprise backup and disaster recovery in the cloud using CommVault, close their UK data centers, decommission physical hardware and reduce operational costs and future hardware CapEx. They were able to accomplish this by seamlessly federating as I stated, their on premise CommVault with their cloud CommVault. Let me just reiterate, this is a very important point. When I talk to CEOs and CIOs, a major reason they are choosing CommVault is because of our ability to seamlessly and comprehensively manage data across their on premise, mobile and cloud environments. This is a significant differentiator between CommVault and others in the market. Next, I would like to briefly discuss another key differentiator which is our increasing pace of innovation. We have a deep pipeline of additional innovative products and services to help our customers achieve their business and operational objectives. In March, we introduced Service Pack 3 for the new V11 platform, which also marked the V11 formal upgrade program. We complemented that release with two enablement and awareness tracks. As a result, we are seeing a meaningful increase in V11 upgrades as well as sales of new solution sets. Over the summer and fall, we will be introducing a broad range of additional solutions derived from the CommVault platform, featuring user self-service, ways for users to directly and securely access and manage their data in the cloud; a new category of cloud-first solutions that will enable enterprises to better manage data created in the cloud, including more comprehensive protection, data lifecycle and secure data portability; a new category of content-first solutions powered by federated indexing; and intelligent search of data sources spanning online cloud and managed copies, which can be coupled to business content management policies to reduce risk, expand collaboration and establish content-oriented retention strategies based on the value of data as compared to just blind copies. Comprehensive embedded software defined storage will be introduced later in the summer and the fall. And, lastly, we will be introducing a new series of SaaS-based solutions. Our enhanced and broadening product portfolio is helping accelerate revenue growth. In closing, I am pleased with our performance in the second half of fiscal 2016 and the foundation we have established for future growth. As I stated earlier, we still have work to do to achieve our long-term financial objectives, but we enter FY 2017 with a significantly better ability to execute. We currently have a well-defined strategy for growth and the industry-leading software platform, including standalone data management and healthcare solutions. We have an enhanced and broad product portfolio and a strong technology pipeline. We have improving market and competitive positions, a stronger more stable enterprise sales force and expanded distribution including both partners and routes to market. We have industry-leading support and services and we continue to have a strong balance sheet with no debt. Business momentum is improving and we have positioned CommVault for much better financial results in FY 2017. We are focused on maximizing the growth of both revenue and earnings. I will now turn the call back over to Michael.
Michael Picariello - Director of Investor Relations: Operator, can we please open the line for questions?
Operator: Our first question comes from Jason Ader from William Blair. Your line is now open.
Jason N. Ader - William Blair & Co. LLC: Yes. Thank you. Bob, you talked about the internal plan being better than consensus in terms of software revenue growth in particular. Can you give us a sense of what that internal growth rate is that you're looking to achieve?
N. Robert Hammer - Chairman, President and Chief Executive Officer: Qualitatively, it's quite a bit higher.
Jason N. Ader - William Blair & Co. LLC: Okay. And then, just one for Brian, a follow-up on the model. Brian, 11% operating margin in fiscal 2016, obviously you have some increased investment needs in the first half of the year. Do you think you can exceed the 11% in fiscal 2017?
Brian Carolan - Chief Financial Officer: There's always that potential, Jason. I mean, based on our internal forecast, I mean, we are shooting for, as you noted, higher, more aggressive software growth targets and tied to that is an increased investment strategy but certainly adding some more leverage on the bottom if we are able to achieve our internal forecasts.
Jason N. Ader - William Blair & Co. LLC: Okay. But I think the consensus is around for 10%, is that too low, I mean should we be modeling more like 11%?
Brian Carolan - Chief Financial Officer: Well, it's somewhere in between, I believe, that it was closer to 10.6% is what's out there and I think that's reasonable for now.
Jason N. Ader - William Blair & Co. LLC: Okay. Thanks, guys.
Operator: Our next question comes from Andrew Nowinski from Piper Jaffray. Your line is now open.
Andrew James Nowinski - Piper Jaffray & Co. (Broker): Thanks and congrats on a nice quarter. So just first question on software license revenue, it was clearly better than expected. Can you give us any color on how much of that came from V11 versus Version 10 and then what drove the upside if there was any from a specific vertical?
N. Robert Hammer - Chairman, President and Chief Executive Officer: I think, the vast majority of what has shipped is still V10 but the decisions customers are making are clearly on V11. And the pipeline build and recent wins in the pipeline are clearly on V11 and all the things I mentioned about V11's capabilities. So, there is no question that our momentum is a V11 driven momentum, Andrew. And your second question was?
Andrew James Nowinski - Piper Jaffray & Co. (Broker): Just wondering on the software license, if there is anything from a vertical perspective that drove some of that upside?
N. Robert Hammer - Chairman, President and Chief Executive Officer: No. We had good, strong performance across all our major verticals, which typically are finance, government and healthcare are the top three vertical markets. And we had strong contributions from every one of those verticals.
Andrew James Nowinski - Piper Jaffray & Co. (Broker): Right.
N. Robert Hammer - Chairman, President and Chief Executive Officer: So, there was no vertical in particular that drove the license revenue growth. I can tell you that the win rates are across the board in all industries.
Andrew James Nowinski - Piper Jaffray & Co. (Broker): Got it. And then, it's been almost a year since you announced that you were a preferred partner of Cisco. I'm just wondering, if you can give us an update on how that partnership has ramped and whether your Version 11 will accelerate the growth opportunities with Cisco going forward? Thanks.
N. Robert Hammer - Chairman, President and Chief Executive Officer: I would say, on Cisco, that partnership has evolved certainly better than I would have expected. It continues to deepen and broaden and they are bringing material revenue. We are partnering in a lot of major accounts and I think that partnership will continue to expand. I'll just make a note that our Microsoft partnership continues to do well. We're getting a lot of traction with AWS at an accelerating pace. We're doing well with Pure, well with Nutanix and these are partners that really didn't contribute very much to our revenue a year ago. So I think our partners and alliances program is providing us a much broader foundation and routes to market than we had going into FY 2016.
Andrew James Nowinski - Piper Jaffray & Co. (Broker): Okay. Keep up the good work. Thanks.
Operator: Our next question comes from Abhey Lamba from Mizuho Securities. Your line is now open.
Abhey R. Lamba - Mizuho Securities USA, Inc.: Yeah. Thank you. Congrats, everyone. Good quarter. Bob, can you talk about what type of workloads in cloud are gaining greater traction and as you target these cloud-related workloads, what are you seeing the most in competitive environment?
N. Robert Hammer - Chairman, President and Chief Executive Officer: Yeah, I'll take it. But I'm going to let Al expand on this a little bit, maybe with some customer examples. But clearly our ability to index, understand what data a customer has, put a policy on it, and then securely orchestrate the migration of data to the cloud and then manage it once it's in the cloud, is a significant differentiator. And I'll let Al expand on this a bit. Al?
Alan G. Bunte - Chief Operating Officer: Yes, Abhey. I think Bob hit a lot of the key points in his script as he went through, and as he just said, more and more and more people want to know what's there, they want to manage it based on content, not just big blobs of data. But to your question in terms of use cases, I think it's still led by backup and archive. I think file share is a big area. However, the interesting thing we're seeing with file share is people want protection for that share, both from a secure access point of view as well as, as Bob indicated, point in time copies and traditional data management protection techniques. DR [disaster recovery] is a big one, dev/test, and the hot thing – and I just talked to couple industry analysts out there, the hot thing we're seeing in the industry that's not exactly to your question but is the term workload portability. So being able to move data around, particularly in heterogeneous environments, is a really, really big deal. And to do that on an automated, orchestrated, under policy management kind of approach is a huge differentiator.
Abhey R. Lamba - Mizuho Securities USA, Inc.: Got it. And Bob, you mentioned your internal plan is somewhat higher than what you've shared with us in terms of consensus and you also mentioned you have a good funnel going into next year. What type of close rates do you need to hit to meet your internal plan? Will the current rate of close rates get you to your internal plan, or do the close rates need to improve to get to your current plan and...
N. Robert Hammer - Chairman, President and Chief Executive Officer: The close rates we are predicting are quite similar to historical. But in order to hit our higher numbers, we've got to do a better job on our sales force productivity. And there's a whole series of initiatives that we have started in FY 2016 to improve the productivity of our sales force, some of them I mentioned in the script. So I think we are well positioned with product line, with staffing and with structures and processes and new alliances and partners to help our sales force be a lot more productive. So those combinations could have a pretty significant impact on the shape of our license revenue growth acceleration.
Operator: Our next question comes from Aaron Rakers from Stifel. Your line is now open.
Aaron Rakers - Stifel, Nicolaus & Co., Inc.: Yeah. Thanks for taking the questions and congratulations on the quarter as well. Bob, I want to kind of build on that last comment. When you look at your fiscal 2017 plan and even looking back at fiscal 2016, I'm curious of what you've done with regard to sales capacity, what your plan is going into fiscal 2017, and how do you think about productivity? I mean, where are we at today relative to the productivity prior to a lot of the transformational things that you had to do? And do you think we get back to that similar level based on your forecast – your internal plan for fiscal 2017, or do you think we can actually drive similar levels of leverage without getting fully back to that prior productivity level?
N. Robert Hammer - Chairman, President and Chief Executive Officer: Yeah. Understand. So on our sales capacity going into FY 2017 and the structures and the leadership is up – one, the capacity is up significantly from FY 2016. We didn't have the Americas staffed. So that was a major hole we had going into FY 2016, and the opposite situation going into 2017. We added staff to EMEA, and we have got a restructured APAC with new leaders in all segments of the APAC organization. In addition to that, we've staffed up our alliances group, and we've added these field overlay teams to help the field sell these expanded solution sets. So – and we've expanded our capabilities in marketing. So it's dramatically different going into FY 2017 versus 2016 from a capacity structure and I'd say our overall ability to execute. In regard to sales force productivity, we are planning for a good solid increase in productivity in 2017, but that's on our – call it our more aggressive targets but that increase in productivity still does not get us back to where we were before when we were at our peak. And I think we won't get back – I think that will take us another couple, three years to get back to those kind of productivity levels. Could happen sooner, but to your point, we're not planning. We don't need to get back to those kind of levels to hit our more aggressive license revenue targets in FY 2017.
Operator: Our next question comes from Srini Nandury from Summit Research. Your line is now open.
Srini S. Nandury - Summit Research: All right. Thank you. Congrats on the nice quarter Bob, Brian. I have a bigger picture question if I may. Bob, last three or four years we saw this, the industry move to the virtualized servers, virtualized data centers looks big. It looks like now containers are looking to displace virtualized servers. How do you think the business will change when containers start gaining steam in 2017 and beyond as what many people expect. Do you need to retool your software offerings and perhaps change architecture, how the software is deployed into your customers?
N. Robert Hammer - Chairman, President and Chief Executive Officer: Well, fortunately, on our architecture and functionality is extremely well aligned with the move to containers. So we view that as a major plus for us, not a minus. I'm going to let Al get into this in a little more detail, but we are well positioned now and as we move through the balance of this – not the fiscal year, the calendar year, we will be substantially increasing our solutions based on containerization. So, Al, why don't you expand on that point?
Alan G. Bunte - Chief Operating Officer: Yeah. We are seeing more and more interest develop particularly from enterprise accounts for the container ideas. It just makes too much sense but as Bob said, to be able to do that you really need to be able to know what's inside the container. And that's where our heritage, our architecture, our history, is all about as Bob said in quite a lot of detail here even on this call is, it's all about the data, it's all about the content. And technologically it revolves around our indexing and almost file-system like capabilities that we've built into our platform. So if you understand what's inside the container, now you can manage not only the containers, where they are, what platforms there are, but use them effectively for many of the use cases beyond just a kind of a quasi-DR type of solution. So, as Bob said, we feel extremely well-positioned for this. We have been working hard on a lot of these capabilities. Not just now but have for a few quarters and we feel really well positioned as the market goes and I think it inevitably will by the way, go in this direction.
N. Robert Hammer - Chairman, President and Chief Executive Officer: Yes, just in the broad summary on workload portability and where containers plays a – will play an increasing role, I don't think there will be anybody – I think there will be CommVault and others. I think we're going to be way out in front of the industry in our ability to manage workloads with a whole series of different techniques and containers will certainly be one of them. And what Al was saying is, if you're just moving a volume and you don't know what objects or files are sitting inside that container, you can't do very much with it. But if you have full understanding of what's inside that container as you move it to these different infrastructures securely – for all the things we talked about, whether it's data protection or secure user access or for business analytics or whatever use case you've got, then you've got a much more powerful solution. So we are enthusiastic supporters, let's put it that way, of the move to containerization.
Brian Carolan - Chief Financial Officer: That's a good term.
Operator: Our next question comes from Greg McDowell from JMP Securities. Your line is now open.
Rishi Jaluria - JMP Securities LLC: Hi. This is Rishi Jaluria dialing in for Greg McDowell. Thank you for taking my question. First question I wanted to dive a little bit into geographies. It sounds like there was relative weakness in APAC at least relative to the Americas and EMEA. Can you dive into what factors drove that, again, relative underperformance?
N. Robert Hammer - Chairman, President and Chief Executive Officer: Well, actually, from an internal standpoint, they over performed on a year-to-year basis. So the issue is we've been completely restructuring APAC; structures, leadership, re-staffing and so we knew on a year-over-year basis it would take them a few quarters to catch up, as they put all this together. But from an internal basis, they significantly overachieved the number we expected from them. So I would say the team in APAC did a really good job. Not only in delivering a higher number than we expected, but also in continuing to build out their leadership team, structures and staff I'd say more appropriately for the current dynamics in the market. So we feel really good about the team and its performance.
Operator: Our next question comes from John DiFucci from Jefferies. Your line is now open.
John DiFucci - Jefferies LLC: Thank you. First question for I think Bob or Al even, it's on the maintenance repricing. I think you talked last quarter about being most of the way through on the enterprise and beginning to work through the mid-market to lower end. And I assume that has the impact on the guidance you gave for the year for maintenance. But can you tell us do you expect any difference in the behavior or reaction from the mid-market in regards to this? And I guess, Brian, if you could just remind us what percentage, even roughly, of your maintenance revenue is actually mid-market and below? Thanks.
Brian Carolan - Chief Financial Officer: Sure. Hi, John, this is Brian. I'll take this question. So we've been communicating for several quarters now, just about our ongoing pricing realignment and you're right. So at the enterprise level, which encompasses about 75% of our ongoing maintenance and support revenue stream, most of that is behind us. What's in front of us is the remaining 25%, which is at the mid to lower end of the market, where we've instituted a very programmatic approach that we've launched this past quarter. So far so good. It's in its early stages but the market reception has been very good. We believe this is going to accelerate new customer acquisitions. It's going to make it easier to do business with CommVault and it will become a catalyst for us in terms of overall license revenue growth. What's dampening down the FY 2017 services revenue growth is really what you have to look at is FY 2016 license revenue. There will be a lag affect that will impact the services revenue growth rate. Once we get through this year, we should see a period of normalization starting to happen in FY 2018. But until then, it acts as a headwind to our op margin expansion.
Operator: Our next question comes from Rajesh Ghai from Macquarie. Your line is now open.
Rajesh Ghai - Macquarie Capital (USA), Inc.: Yes. Thanks for taking the question. Bob, my first question is on the macro environment, obviously, you seem to have exceeded expectations in this environment, whereas most of your competitors, especially the on premise license software guys, have either missed numbers or guided down. So I just wanted to understand what you were seeing in terms of the macro? And the second question is around sales and marketing. Obviously, you said you're focused on improving productivity. But I'm just curious this was the first time since 2009 we are seeing a sequential decline in sales in marketing expense in fourth quarter. What drove that? Was that some reduction in-force or was involuntary (52:47) departures, what exactly was the reason for that? I really appreciate it. Thank you.
N. Robert Hammer - Chairman, President and Chief Executive Officer: On macro, I would say we are concerned about it because what we read in the press, but counter to that is we've continued to see good solid funnel growth and we seem to be able to get involved in a sufficient number of large deals. So, right now, I would say the macro is not a factor in our current outlook on a specific basis to CommVault, but we'll continue to monitor it. On the sales marketing productivity, to be direct about it, as we were putting together the plan for FY 2017, we had slowed down our hiring a bit, as we ended the second half of FY 2016, just to make sure that we were going to hit our numbers. And when we went to turn up recruiting, we got a little – we were a little slow off the block. So we underspent on recruiting in the fourth quarter, and we're catching up with it quite quickly here in the first quarter. So it was more a question of cranking up that recruiting engine and getting people in, but right now we're on a pretty fast pace. So I wouldn't read anything into it, except that we underspent.
Operator: Our next question comes from Michael Turits from Raymond James. Your line is now open.
Michael Turits - Raymond James & Associates, Inc.: Hi, guys. In terms of your rough guidance to consensus being reasonable, what is the – this is sort of a different way of asking the productivity and capacity question – what's embedded there? The software revenues for the Street are up 13% in the next year. You said capacity is up. So is your assumption that capacity is up roughly that amount and productivity is flat, if you get to the Street numbers?
N. Robert Hammer - Chairman, President and Chief Executive Officer: Well, you could make that rough assumption. I think, internally we're trying to do better than that on both sides, both on capacity and productivity.
Michael Turits - Raymond James & Associates, Inc.: Okay. And then, I don't mean to put too fine a point on it, but I think it kind of worked out for margins for this full year to be 11.3% and Brian, you said 10.6% was reasonable for next year, which is actually 70 bps down. So again, I don't mean to put too fine a point on it, but should we think of it as flat or 70 bps?
N. Robert Hammer - Chairman, President and Chief Executive Officer: Yeah. Well, I think, slightly down is correct because we kind of over-rotated in Q4. So I think that 10.6% is the right number.
Brian Carolan - Chief Financial Officer: So it's flat on EBIT absolute dollars, Michael, but would be down on a margin percentage, but we're confirming what's already out there as of today preannouncement.
Operator: Our next question comes from Siti Panigrahi from Credit Suisse. Your line is now open.
Sitikantha Panigrahi - Credit Suisse Securities (USA) LLC (Broker): Hi, guys. Thanks for taking my question. Just wanted to confirm, did you say U.S. software revenue growth 2% and EMEA 7%?
Brian Carolan - Chief Financial Officer: I did.
Sitikantha Panigrahi - Credit Suisse Securities (USA) LLC (Broker): Okay. So just wondering, was there any big deals in the quarter that you want to highlight? Did you see anything else, any big deals there? And then also, as you talked about the hiring in next, first half of this year, where are you planning to hire, is it mostly in the U.S. or in any other region and is that mostly on sales marketing or R&D. Could you highlight those?
N. Robert Hammer - Chairman, President and Chief Executive Officer: It's mostly on sales and marketing. Although, we are hiring on R&D and it is pretty much across the board, where last year it was much heavier in the Americas, because we had a hole to fill. Now it is across the theaters. And it's not just in sales head count but from a productivity standpoint, both, I'll call them sales overlay, from our solutions group and our marketing teams investing to support the field. There is more investment going into those areas to ensure much higher productivity from those customer facing assets that we have.
Operator: And our last question comes from Stephen Bersey from MUFJ. Your line is now open.
Stephen D. Bersey - Mitsubishi UFJ Securities (USA), Inc.: Hey, guys. Just wondering, as you roll some of these subscription-based products out, if you will be breaking out any more SaaS type metrics in the calls?
N. Robert Hammer - Chairman, President and Chief Executive Officer: Yeah, this is Bob. So I would say particularly as we get into the second half of FY 2017 with new SaaS products, pricing models, there is no doubt that the SaaS related or time-based subscription type revenue will accelerate. And when we have a track on it and we have some predictability, we will definitely be breaking it out. But I don't think that would happen in FY 2017 but it's quite likely that we would do it in 2018 because we are really positioning a whole series, again, it's not just SaaS products, but our pricing models are going to lend themselves to more SaaS-based kind of deployments by our customers. So I think of FY 2018 where that would be more relevant than FY 2017. But the programs are significant internally. I mean, Al and the team are working over a year on these. And they'll start to rollout over the near future and will evolve, as we go through this fiscal year.
Operator: I am showing no further questions. Ladies and gentlemen, thank you for participating in today's conference. You may all disconnect. Everyone, have a great day.